Operator: Good afternoon. My name is Saeed and I will be your conference facilitator. At this time, I would like to welcome everyone to Intuit's First Quarter Fiscal 2014 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. (Operator Instructions) With that, I'll now turn the call over to Matt Rhodes, Intuit's Director of Investor Relations. Mr. Rhodes, you may begin.
Matt Rhodes: Good afternoon and welcome to Intuit’s first quarter fiscal 2014 conference call. I’m here with Brad Smith, our President and CEO, and Neil Williams, our CFO. Before we start, I’d like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit’s results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2013 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit’s website at intuit.com. We assume no obligation to update any forward-looking statement. Some of the numbers in this report are presented on a non-GAAP basis. We’ve reconciled the comparable GAAP and non-GAAP numbers in today’s press release. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior year period and the business metrics and associated growth rates refer to worldwide business metrics. As a reminder, all reported results exclude Intuit Financial Services and Intuit Health, which have been sold and reclassified to discontinued operations. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends. With that, I’ll turn the call over to Brad Smith.
Brad Smith: Alright, thanks Matt, and thanks to all of you for joining us this afternoon. We’re out of the gate strong in fiscal 2014. We grew revenue 11% in the first quarter and we’re reiterating our guidance for the fiscal year. You’ll hear more on that from Neil in a minute. As you know, we realigned the organization on August 1, focusing the Company on two strategic outcomes, to be the operating system behind small business success, and to do the nations’ taxes in the U.S. and Canada. Over the past several years, Intuit has successfully transitioned to become a leader in cloud solutions for small businesses and consumers. Two-thirds of our 45 million customers use cloud solutions, and nearly two-thirds of our revenue comes from higher-value cloud and connected services with predictable, recurring revenue streams. In our tax businesses, 75% of our Consumer Tax customers use TurboTax Online, and we have a first-mover advantage with our cloud-based professional tax offerings. An aggressive shift to the cloud is building momentum in our small business segment as well. More than 1 million QuickBooks customers are now in the cloud. QuickBooks Online crossed the milestone of 500,000 subscribers, up 29% and accelerating from the fourth quarter. Global distribution is helping to drive this growth, with QuickBooks Online subscribers up more than 80% to over 37,000 paying customers outside the United States. In fact, on average, a new QuickBooks Online subscriber is signing up every minute around the globe. We also have an additional 500,000 QuickBooks desktop customers who have moved their data to the cloud, and when you include QuickBooks Enterprise, our total QuickBooks subscriber base is up 25% year-over-year. This growth is no coincidence. Cloud-based offerings provide superior benefits for small businesses and we want all of our small business customers to adopt cloud solutions. In support of this goal, we’ve been aggressively reducing friction across the ecosystem to make it easy for QuickBooks customers, accountants and developers to embrace the next chapter. The new QuickBooks Online that we unveiled on Investor Day in September is now available to all new customers, and we’re rolling it out to existing QuickBooks Online and desktop customers over the next several months. Just a few ways that we’re driving adoption include a new three-step, three-minute conversion process for the QuickBooks desktop customers to transfer their data to QuickBooks Online. We’re marketing this capability more aggressively to our desktop base as the new QuickBooks Online rolls out more broadly. For new customers, we’re using the power of big data to customize their QuickBooks Online experience based upon other small businesses that look like them, completing their setup process in a matter of seconds. We’re complementing these efforts with strong promotional incentives for accountants and small businesses to drive adoption of QuickBooks Online, and will continue to target and test promotions in different markets around the globe. To accelerate the global adoption, we’ve strengthened our Intuit Partner Platform for third-party developers in the U.S., in Canada, in the U.K., Australia and India, the five priority countries where we’re currently focused. We strengthened our APIs, making it easier for developers to build solutions that seamlessly integrate with QuickBooks Online, and we’ve upgraded our apps.com distribution that showcases our developer partners, now making their apps easily discoverable from within the product at the moment of need. And finally, we’ve modified our pricing to attract the best developers, and we are proud to announce the addition of American Express, who has built a new app called ReceiptMatch for QuickBooks. The app allows small businesses to take pictures of their receipts and match them with their QuickBooks chart of accounts in a matter of seconds. The app is going to be available in early 2014. And while we have encouraging momentum in small business, we are looking forward to the upcoming tax season as well. Fiscal 2014 is a pivot year for Consumer Tax. I like the changes the team is driving, and I believe this year will represent a strong initial step towards the multi-year journey to achieve our vision of 'taxes are done'. In the upcoming season, we are laser-focused on driving improvement in three critical areas. First, we intend to improve the conversion of new users with a simpler experience to help customers through their tax return with increased speed, ease and confidence. Second, we’re streamlining the returning user experience, unleashing the power of customer data to simplify the tax prep process and help them easily understand year-over-year changes in their tax return. And third, we’re creating a unified help and answer experience, driving TurboTax customers to clear explanations on everything that is tax related, including the Affordable Care Act. In the Professional Tax business, we’re off to a strong start early in the season, and our shift to the cloud is picking up steam. We intend to build on our lead and capitalize on this once-in-a-generation shift to the cloud for the accountants as well. Now as you’ve likely heard, the IRS anticipates some delays to the start of the tax season again this year. It’s too early to know the exact impact on our business, but we will keep you posted as we learn more. And so with that context, let me turn it over to Neil to walk you through the financial details and our guidance.
R. Neil Williams: Thanks Brad. Let’s start with overall Company results. For the first quarter of fiscal 2014, we delivered revenue of $622 million, up 11%, non-GAAP operating loss of $20 million, GAAP operating loss of $77 million, non-GAAP loss per share of $0.06, and a GAAP loss per share of $0.04. In the first quarter, we accelerated some investments in data and small business marketing to drive growth throughout fiscal 2014 and beyond. As a result, expenses grew slightly faster than revenue, consistent with our plans for the quarter. Turning to the business segments, total Small Business revenue grew 11% in the first quarter. Within Small Business, Small Business Financial Solutions or SBFS revenue grew 9%. Within SBFS, QuickBooks revenue also grew 9%, driven by increased adoption of our cloud solutions; QuickBooks Online subscribers grew 29%, with modest benefit from the new QuickBooks Online which became available to all customers late in the first quarter. QuickBooks Desktop subscribers grew 17%, QuickBooks Enterprise subscribers grew 21%, and our Small Business deferred revenue grew 13%, driven in part by the subscriber growth I just mentioned. Payments revenue grew 8% in the first quarter. As a reminder, we had two months of benefit from the Durbin amendment in the first quarter of fiscal 2013, creating a tough comparison. Merchants grew 10% and card transaction volume grew 6%. As Brad mentioned, we also recently announced partnerships with Square and American Express, which will provide easy integration with QuickBooks Online. Now let’s move to Small Business Management Solutions, or SBMS, where overall revenue grew 15%. Within SBMS, Employee Management Solutions revenue grew 12%, driven by strong growth in online customers. Online Payroll customers grew 18%, and within Online Payroll, full-service payroll customers grew 85% to over 13,000. In addition, Demandforce subscribers grew 36%. We recently acquired Full Slate, a leader in online scheduling capabilities for small businesses which will join the Demandforce team. Within the Consumer segment, Consumer Tax revenue was up 11% versus the first quarter last year, driven by late-season filers and additional attached services. As you know, our Consumer Tax business is highly seasonal and our first quarter is a light one. The first quarter is also relatively small for our Professional Tax segment, where revenue grew 16 %. It’s early in the year, but we’ve seen strong customer acquisition and renewals for the upcoming tax season. As we told you in September, we made some product changes in this segment. The second-quarter guidance that we reiterated today includes a shift of approximately $70 million in ProTax revenue from the second quarter to the third quarter as compared to fiscal 2013. Turning to the balance sheet, we continue to take a disciplined approach to capital management, investing the cash we generate in opportunities that yield 15%-plus ROI. So far this fiscal year, we’ve made four small acquisitions with a total investment of around $90 million. These were talent acquisitions that provide Intuit with innovative teams of highly skilled data scientists, engineers and designers who will add great value across our businesses. In acquiring these companies, we used a mix of cash and equity in order to align the sellers’ success with Intuit’s over the long term, and as a way to retain top talent. We also returned cash to shareholders via share repurchases. In the first quarter, we entered into an accelerated share repurchase agreement to buy back $1.4 billion worth of shares and about $2 billion remains on our authorization. We expect to reduce our share count 4% to 6%, net in fiscal 2014. Our Board also approved a $0.19 dividend for the second quarter of fiscal 2014, payable on January 21. Moving to guidance, we reiterated our guidance for the second quarter and fiscal 2014. You can find the details in our press release. As Brad mentioned, we expect a late start to this tax season. That could impact form availability and push Consumer Tax and ProTax revenue from our second fiscal quarter to our third fiscal quarter. We’ll update you as the season approaches if our expectation for the timing of revenue has a material impact on our guidance for Q2. And one housekeeping item. As a reminder, we'll provide tax unit updates in February in conjunction with our second-quarter earnings release and in late April after the tax season is over. And with that, I’ll turn it back to Brad to close.
Brad Smith: Okay, thank you, Neil. It’s obviously early in the fiscal year, but we’re off to a great start. As you can probably sense, we’re excited about the new QuickBooks Online, which is accelerating our transition to the cloud, creating value for Intuit and for our shareholders. We’re also gearing up for tax season and looking forward to getting our new offerings out into the market in the next couple of weeks. As always, I want to thank our employees for their hard work and their ongoing focus, and with that, let me turn it over to you to hear what’s on your mind.
Operator: (Operator Instructions) Our first question comes from Gil Luria from Wedbush Securities.
Gil Luria - Wedbush Securities: The success of QuickBooks Online internationally, it started even before you put a lot of emphasis on it, but can you help us a little bit in terms of what your approach is for helping that go to the next level? You are working with accounts internationally in a different way than you have before. Is that any different than the way you work with accounts in the U.S.?
Brad Smith: First of all, yes, there are things that are different. First of all, the new version of QuickBooks Online which we referred to at Investor Day is Harmony, is now available across the globe and with our new changes to the Intuit Partner Platform, we have the ability for third-party developers around the globe to build on the QuickBooks Online platform. But then what we did differently this year is we focused in on the four priority countries in addition to the United States, so Canada, the U.K., Australia, and India. And in doing that, we prioritized what was the best go-to-market plan for each of those four countries. The emphasis is clearly on online and web side and it's also the accountant channel, and in each of those four countries, we think getting underneath the hood – in fact I was just out in each of those countries in the last two weeks, sitting with accountants understanding what was it they were looking for from the product, what was it they were looking for from a services and program perspective, and what can we do more of to help them be successful, and in each of those four countries, our teams are tailoring the go-to-market offering. Sometimes it is about offering them incentives to sell, sometimes it is about offering them the ability to be found by small businesses [inaudible] product, find a ProAdvisor, but in each country it's slightly nuanced and we have a 'right for me' approach for each of the four markets and that's what's helping us getting accelerated traction in the market.
Operator: Our next question comes from Greg Dunham from Goldman Sachs.
Greg Dunham - Goldman Sachs: Also following up on QuickBooks Online, and asking in a different way more on the U.S. performance, if you look at the growth in subscribers in the U.S., it looks like it's in the high teens, it's 17%, but obviously you released it with only a month left in the quarter, so the question is, how much lift did you get in October from the release and what kind of growth rates of QuickBooks Online subscribers are you seeing post the release?
Brad Smith: Greg, first of all, in the United States, QuickBooks Online in the quarter was up 26%. So if you exclude the global number, it was actually up 26%. And the second part of the answer is exactly what you hypothesized, that we got very minimal lift from the new QuickBooks Online in the first quarter because we were just rolling it out in a phased approach to new customers. So we expect to see the incremental impact of this new version of QuickBooks Online as we head into Q2 and then into Q3.
Operator: Our next question comes from Peter Goldmacher from Cowen.
Peter Goldmacher - Cowen and Company: I wanted to ask you a quick question. Usability obviously is a core focus for you guys and obviously an important one, and the examples you gave were good examples of how to help make conversion easier, but QuickBooks has pretty high churn. Can you talk a little bit about usability in the product that is being aimed at reducing that attrition?
Brad Smith: Yes, sure I can, Peter. In fact with QuickBooks Online, the challenge we had was getting people into the actual product and having them being productive as quickly as possible. It used to take as much as 40 minutes in the old QuickBooks Online Classic to get your product set up for you and to be able to customize what tabs you would need if you had inventory or if you were more of a services-based business. Now by using the data in the cloud and finding customers who look like you out of the 500,000 other subscribers, we can get you set up in seconds. The other thing we've done is we've erased the organizational things between payroll and payment. So you get inside the QuickBooks, you add an employee and in a three-step process you are literally paying your employee with payroll. So we are seeing a much stronger uptick in the early indicators for attach, which we think will hold promise as we go further into the rollout. The one thing you'll see it's doing in the next four to six weeks is run a six-week release cycle and we're addressing other areas in the product that we now have the opportunity to continue to be further enhanced, things like banking fees and bank reconciliation as well as other areas that will continue to help the customers move to the product in a – and as you said, a cleaner usability experience. But net-net, what we are seeing right now is we've smoothed out the navigation, we've sped up the actual setup process, we made it easier to cross-sell and buy products, we made it easier for third-party applications to be found inside the product, and in the areas where we aren't all the way to [inaudible], we are on six-week cycles to knock those down as well.
Operator: Our next question comes from Kartik Mehta from Northcoast Research.
Kartik Mehta - Northcoast Research: In your prepared remarks, you used the word 'pivotal' for the tax season and I'm wondering did you mean pivotal as in it is a pivotal time for Intuit or are you expecting some change in the industry and that's why the season becomes pivotal and very important?
Brad Smith: Actually the word I meant to articulate was pivot and the pivot is away from relying heavily over the last several years on advertising. So a very significant shift towards the new product vision which we describe as, 'taxes are done'. And that's going to be a multi-year journey that we talked a little bit about at Investor Day but this is going to be that first initial foray into making this product frictionless. In fact the team aspires to basically have a product that is no effort, no risk, no doubt. And so we are focusing on simple filer this year for the first time filer, we are focusing on saving more of those 5 million customers that are returning users and may end up not coming back the second year, and we are focusing on simplifying the user experience to get answers to questions. And so, it's basically what we're calling a pivot year which is internally we've really geared up our engineering efforts, our product efforts and we're basically looking to lean more into having a great product experience that leads the way in the market.
Kartik Mehta - Northcoast Research: And just a last question, Brad, on QuickBooks Online, as you move to the cloud, there seems to be a greater number of competitors in the market. Is that changed anyway how you have to market the product, does that change maybe your emphasis on consumer versus accountant, or anything else you'll do to make sure that the product gets proper recognition?
Brad Smith: Actually when new competition comes in and especially if they generate press, it truly creates an opportunity for us to accelerate the category growth to get people out of spreadsheets and shoeboxes, which is where 42% of small businesses still do their accounting, and gets them to consider a solution. What we've been able to do is we've been able to capitalize on that. We have been at all the major accounting shows, we've been at all the major trade shows, we're out there on the web, we obviously have an exciting program of Small Business Big Game where we had this six-month social campaign and there was going to be a winner who's going to get a 30 second TV ad, and the third quarter the biggest game of the year. And so all of that actually is good news for us in terms of getting people to raise their head and say, hey, it sounds like there is something in the market that's maybe different, and as long as our product is superior to every other solution in the market, then we think this is nothing but good news for us. So there isn't anything we've had to do differently other than make sure people know that we have a leading cloud solution that has been completely re-imagined and if you give it a test drive, even if you tried it a couple of years ago, you're going to find a completely different experience.
Operator: Our next question comes from Brent Thill from UBS.
John Byun - UBS: This is John Byun for Brent Thill. Just had two questions. One, you mentioned Full Service Payroll was up more than 80%, realizing it's such a small base but why the strength there? And then the second question is just a quick one on, there were some questions in the past about filing of tax extensions. I'm wondering whether you had seen an impact from that in the October quarter.
Brad Smith: So let me start with the first one. As you may recall, we looked at extending our payroll offering on the high end to include something called Full Service Payroll which not only enables you to input your hours and basically your wage rate but also will handle the filing for you and will handle any inquiries that may come from the IRS if you have any sort of an audit or a potential penalty. And so that's pretty much a direct competitive alternative to some of the outsourced solutions in the market. The difference is, ours is driven from algorithms. We're able to look at big data and able to look at prior user behavior to see where there may be a potential input error and we could tell you that you mean to type 400 hours or did you mean to type 40 hours, and by correcting it at the point of input, we reduce the potential errors down the road which lead to penalties and interests, and about 40% of small businesses by the way make a mistake every year on payroll. And so by doing this, we are able to basically eliminate that risk of mistake. The product is so simple to use, it's online and it is really accelerating in terms of its traction in the market. And so that's what's driving the 85% growth rate. And you're right, it's also the small base of about 13,000 customers but that continues to accelerate and we're excited about its future potential. The second is the filing of returns and tax. Yet we did see the continuation of people filing extensions up through October 15. That's what drove some of our tax numbers that you heard Neil talk about earlier, [indiscernible] ProTax as well as some Consumer Tax. At the same time though, it wasn't enough to offset what everyone had anticipated what have happened this past tax season in terms of the total returns being filed. So while it certainly was more than we had forecasted, it still didn't make up the delta of what we had fully expected for the year.
Operator: Our next question comes from Scott Schneeberger from Oppenheimer.
Scott Schneeberger - Oppenheimer: Following up on the Consumer Tax question that you're coming up, I just wanted to clarify, it sounds like you're going to do much more of a [deti] (ph) on the product itself and you alluded to a shift away from advertising, I just wanted to – could you specify that a little bit more, is that a spend thing, is that a type of customer that you're going after, just some kind of elaboration there?
Brad Smith: We used the word at Investor Day too, so I don't want to lead anyone down a false sense there is something fundamentally different than what we talked about in September. So if I can take the word 'pivot' and pull it out of the vocabulary and talk about what exactly we are doing differently this year, we mentioned that over the last couple of years, we hadn't made the advances in the product that we feel we needed to make, and as we looked ahead, we thought there is a real opportunity now that we have the power of data, we have an ecosystem of offerings like W-2 that we pay with employee payroll in small business, bank fees and a lot of other information that we can basically help you get your tax return done in a much shorter period of time if we take the burden on of getting all the data input for you. And so that's what we call, 'taxes are done'. It's going to be a multi-year effort to get to our nirvana. Our nirvana is to eliminate basically 7 billion hours of tax preparation for consumers and to reduce the tax prep drudgery for the professional to actually do tax preps, so make it easier for the accountants and the TPAs as well. And so what you see shifting this year is much more of an emphasis on the product innovation. In terms of advertising and marketing, the last few years we have engaged an increased spending of marketing and advertising. What you will see differently this year is we're going to be much more targeted and much more specific about how we look for effectiveness in that advertising. As opposed to a continuation of increased investment, we're going to look for how we get more bang for our buck out of our marketing. So those are really the concepts that we are talking about when we talk about a pivot year, as leaning more into product innovation and then allowing the advertising to basically showcase the product.
Scott Schneeberger - Oppenheimer: Thanks for that clarification. On the tax season, could you speak, when you answered the question about extension, could you speak to what it looks like it's trending for returns at IRS this year and again repeat it doesn't look like possible delay this year yet affect your thinking on the upcoming year, what's your anticipation for returns with IRS in the 2014 season maybe?
Brad Smith: I wish on this first one I had an answer for you. We haven't gotten any update from the IRS as a result of everyone has filed October 15 to know what the year is looking like. Our data suggested it was still going to be shy of flat to prior year but we will have to see what the rest of the industry shows up doing. In terms of this coming year and what the delays are, we really don't have enough information to know what the implications would be. Our expectations for return growth though is we are in that 0% to 1% range and we are kind of targeting in that sort of zip code for year-over-year return growth, but that will be more informed once we get a deeper analysis from the IRS and how the full year played out this year.
Scott Schneeberger - Oppenheimer: Thanks and then just one more and just to get Neil involved, is the accelerated share repurchase complete yet, will we know when it is complete, will there be some type of announcement, and while it's ongoing, are you able to repurchase shares in the open market [indiscernible]?
R. Neil Williams: We are about 70% done, 70% to 75% done through the end of the first quarter. We anticipate it will be completed in December. We are not anticipating doing any type of release or announcement when it is finished but those are the timings that we are looking for at this point. And we are not precluded from acquiring additional shares while the ASR is in effect. So yes, we are free to do that if we choose.
Operator: Our next question comes from Jennifer Lowe from Morgan Stanley.
Jennifer Swanson Lowe - Morgan Stanley: I had two questions but they are related, so I'll come together. First I wanted to ask about the Affordable Care Act and certainly the launch hasn't been as smooth there as the government would have hoped, but you won given kind of the disruption there in the initial side. Has that changed your thinking at all about the Affordable Care Act opportunity for Intuit either positively or negatively? And then related to that, I think the consumer opportunity with eHealth got some discussion at Analyst Day but some of the demos I've seen at the gallery also suggest that there's a small business opportunity for Intuit with the Affordable Care Act as well as the material solutions. So can you talk a little bit about where you might be able to capture some opportunity as the Affordable Care Act goes into effect?
Brad Smith: Sure, Jennifer, happy to do that. First of all, we weren't really banking on much impact in this coming year from the Affordable Care Act. We know that there is a lot of learning going on right now. Obviously there are a lot of issues being worked through at the government level. However we do have a solution out there. We have the AnswerXchange, so if you have any question regarding the Affordable Care Act or any applications for your taxes, that's up and available today, and our partnership with eHealth is out there as well but if you want to go out and shop in an exchange for the best potential health plan to meet your needs, you have that ability to do it as well. Which takes me to the second part of your question, our partnership with eHealth we are excited about and we continue to work closely with them to make sure that that process is seamless from getting a question-and-answer to being able to shop for health plan and to have that data flow into TurboTax, but as you suggested, small businesses are also happy and content with answering questions from their employees on 'what does it mean to me', and if they don't offer health plans, it gives them the ability to actually point their employees to an exchange. So we have an Intuit Small Business Health Exchange that we basically are working with. It's currently in pilot in California. The implications for small businesses are not as pressing as they are for consumers right now, and so what we are doing is we're piloting the experience in California and as we learn more, we may scale that out across the country as well. And imagine that being the same thing as it is for TurboTax. You can go in and get questions answered, and then if you want to shop for a health plan, you can go out on an exchange and you can actually make a purchase as an employee. That's complemented with the products we have in payroll right now which is basically a prepaid card or a pre-tax card that a small business can make a contribution to an employee in pre-tax dollars that they can then use to make a purchase of a health plan. And so we are putting together a nice pool of value proposition for small businesses and their employees as well. So we don't expect a lot this year for all the reasons you just cited but we do think this is a real opportunity for us to get our learning in place and to make sure we do have the offerings in the market so when consumers and small businesses are ready, that we have the absolute best set of solutions for them.
Operator: Our next question comes from Raimo Lenschow from Barclays.
Raimo Lenschow - Barclays Capital: Can I just go back to the new QuickBooks Online product please. Can you just walk me through, how does it work for the 500,000 QuickBooks Online users that you have at the moment, are you just converting them over and once you have converted them over, can you talk a little bit about the up-sell of opportunities, so is QuickBooks Online, the new Harmony version a new tool to get more customers or do [indiscernible] total base out as well?
Brad Smith: I'm going to ask you to help me with the second part of your question but let me answer the first part. So today what we have done, we have focused on new users who have never used QuickBooks Online because there is no relearning of navigation. At the same time, we've been testing with small streams of existing customers, how much of a learning curve is there to move from the QuickBooks Online Classic to the new QuickBooks Online, and we have been pleasantly surprised that there is little to no transition time. It is very intuitive and they are able to get up and running very quickly. And in fact we've had our power users, the accountants, basically make sure they pressure test that concept. So now what we are doing is we are starting to open it up to existing QuickBooks Online customers as well as helping QuickBooks Desktop customers with a three-step three-minute conversion that will pull their data out of the desktop and put it into the new QuickBooks Online, and that's going to be happening over the next several months. So we started with new users first, we tested with existing to make sure we understood the learning curve transitioning, and now we are opening up the floodgates for them to be able to move over as well. The second part of your question around the up-sell, I'm just going to ask you to articulate what specifically you were looking for there and then we'll try to answer that.
Raimo Lenschow - Barclays Capital: Remember like you have to make a service to go with it, do you think Harmony makes it easier to sell the connected services or is it going to be the same but you have a nicer looking solution that kind of makes it easier?
Brad Smith: Yes, it does make it easier. We are looking at leading indicators in the product right now but the number of people who click through to payment, the number of people who actually fulfil a payment application, the number of people who send a first invoice, and all of those indicators are up quite measurably for all the attached products, and so we think that is a good precursor for what we think the attached rates will ultimately end up being for the new QuickBooks Online.
Operator: Our next question comes from Brad Zelnick from Macquarie.
Brad Zelnick - Macquarie: Brad, I know it's only been a couple of months since Investor Day but is there anything incremental this year about your efforts to further leverage the base of accounting professionals to drive QuickBooks sales and serve the channel to better compete with tax stores?
Brad Smith: It's a continuing confirmation of what we talked about at Investor Day, a couple of concepts. First of all, what has surprised us more than we had anticipated is the readiness and willingness of the accountants to adopt cloud solutions. So in our ProTax business, the shift to the ProTax cloud product, we call it Intuit Tax Online, it's built on the Lacerte engine. Even though it is early season, the early sales on that are ahead of our forecast. When you look at the QuickBooks Online for Accountant, so the accountant version of QuickBooks Online, we're seeing a very good adoption rate on that product not only in the U.S. but outside the globe. And while it's early yet, we're getting very strong signals that Books to Tax, which is the ability to actually press a button in QuickBooks Online for Accountant and have that go into the new cloud version of the tax system and basically do the tax for the small business, is going to be an asset that's very important to accountants as well. That's why we're describing this for the accounting base as what we think as a once-in-a-generation shift and we have a good first mover advantage and not only just in a ProTax product but also with QuickBooks Online and the ability to have both sides of that equation. So, so far there isn't anything that is new that we didn't talk about at Investor Day, other than the early indications from the sales pipeline and the feedback from accountants that it's very positive.
Brad Zelnick - Macquarie: I appreciate that, Brad. If I could sneak in just one more, looking to consumer ecosystem, slightly better than flat, again we spoke about this a bit at investor Day as well, but can you just paint for us, if we decompose that number, what's going on between Quicken and Mint and as we look forward, what's your expectation, what does it really take to get this business growing into its potential?
Brad Smith: Sure. First of all, Quicken 2014, we just released it a few weeks ago. We have some good news there with the new application having the ability to take a picture of your receipt and embed it in. So we are getting some good early reviews. We just released Mint in iOS 7 and it has got the new very important feature that we always had on the web but we never had on the phone, called Mint Trends, and that's really causing some very good positive buzz and very high user ratings on the app stores. So right now overall, it's really there's been goodness in Quicken because that's the bulk of the revenue in that consumer ecosystem, and at the same time we're seeing some good early indicators in Mint. In terms of what it's going to take for it to be meaningful, a couple of pieces here. First of all, in the tax business, this is Consumer Tax and ProTax, the strategy 'our taxes are done', and then after that we are looking for ways to help families do more with their money. And so a lot of what we're doing right now out in the consumer ecosystem work with the tax team to say, okay, how do we take that 50% of families that didn't even expect to get a refund, now they have this found money, how do we help them do smarter things with that, either fund better deals, or invest it in 401(k) plans, and so our consumer ecosystem is working with them. The other thing the consumer ecosystem is doing is they have taken the Mint platform and they have given it to the Small Business team to go after these customers that aren't big enough for QuickBooks yet. And you'll see Mint MyBusiness coming out soon, it's in beta now, that will basically help those businesses that operate as a single entrepreneur out of their bedroom and help them separate their personal from their business expense, and then what ultimately happens is once they do that, they can literally press a button and it goes into TurboTax and does their tax return. So basically the consumer ecosystem is going to become the glue that helps you do more with the refunds you get from your taxes and also helps to be the platform in the low end of QuickBooks and basically pulls the entire company's ecosystem together. It's early days but we really like the progress happening across all those fronts.
Operator: Our next question comes from Ross MacMillan from Jeffries.
Ross MacMillan - Jeffries & Company: Brad, when I look at your subscription adds, the net subscription adds in the quarter, QuickBooks Online was really strong but Enterprise and QuickBooks Desktop in terms of the net new adds look less strong. I was just curious as to whether you're seeing any shift maybe with the advent of the Harmony release from traditional QuickBooks Desktop users that had been on subscription towards the online product or indeed if that's happening on the Enterprise side as well, I'm just curious as to any dynamics in there that might add some color around that.
Brad Smith: Right now it's still too early to say that it's going all to the new QuickBooks Online. What we do know and what we actually hope for is that we'll get the customers to move to QuickBooks Online. We think it's just an elegant solution and it is going to have a robust set of third-party developers out there and we think that is clearly the chapter for small businesses that we need to be moving to. The Desktop customers that want to upload their data in the cloud continue to grow strong for us but we are trying aggressively to get them to convert over to QuickBooks Online instead of simply uploading their data into the cloud. And so while I can't tell you that that is fully attributable to the first quarter results, I can tell you from an emphasis perspective that's why we have put together a three-step three-minute conversion process to get them up into QuickBooks Online. Enterprise continues to be strong. I would tell you that where we are right now is we have learned from certain promotions that we had used extensively last year starting to get a little stale in the fourth quarter. These are primarily promotions through our own base to get them to move up to QuickBooks Enterprise, and the team has been doing some pretty interesting innovation around different marketing messages to basically get them to move into the new Enterprise product and we think that that product will continue to grow. And that 21% is a good healthy growth, it's up to 91,000 users now, I don't think that is attributable to QuickBooks Online. That's a more full-featured product with deep inventory, but what we are doing is we are starting to get new promotional offers that we are testing that we think will incentivize people to move up. So, net-net, it is our focus to get Desktop to Online. I can't say that in the first quarter the fact that Desktop subscribers were up 17% was directly attributable to the new online version but it will be our focus going forward.
Ross MacMillan - Jeffries & Company: That's helpful, thanks. And then maybe a follow-up for Neil, two questions if I could. Your gross margin progression in the mobile has been very impressive and you continue to show year-on-year expansion in gross margin. I'm just curious if you could just talk to some of the drivers and also your expectations around how that will progress this year. And then one other quick follow up on tax. Just so I understand, given that you had guided the year before the IRS made this statement around the potential delay in the tax season, today you haven't made any changes to the seasonality since your initial guide, does that mean that you've already factored some of that in or are you just sort of saying, let's see how things progress?
R. Neil Williams: First of all, in the gross margin category, we are delighted with the impact that the shift to SaaS product has on our gross margins, and a lot of it has to do with the engagement of the customers and how they attach with their products and services and things like that. As Brad mentioned earlier, we are being very thoughtful about how we allocate our resources among care, among marketing and among engineering in product development, and we are trying to test all those components and make sure that we have really good indicators of value from customers and that's really helpful in attracting new customers and improving conversion before they make long term commit to those. So I think some of the improvement you're seeing is a reflection of us getting a little better in terms of our allocation of how we spend and invest to build the products and deliver them in the market, and we still think there is opportunity to improve there. Again as Brad mentioned, we are making a lot of investments particularly in tax this year on the product side that maybe have been basically pent-up demand there to get the product where it needs to be. So that's where the improvement is coming from really. I think there's better resource allocation against the returns delivering and I think there is continued improvement there as we go forward. On the tax side, what we are trying to say there is that we don't think this shift or whenever the IRS starts accepting returns that any impact on our tax guidance for the full year is very likely to be an impact on the shift from the second quarter to the third quarter. Each year when we give our quarterly guidance, we make some assumptions around when the IRS will open and when they will begin accepting returns because as you know that's a critical factor for us in when we can recognize the revenue. We're going to wait and see when the IRS actually begins to open and start accepting returns and then we will make a determination as to whether or not our guidance needs to shift between the second and third quarter, but no impact for the full year, and what you should read into that is that we are going to wait and see specifically when the service begins accepting returns to decide what the impact should be on our quarterly guidance.
Operator: Our next question comes from Walter Pritchard from Citigroup.
Ken Wong - Citigroup: This is Ken Wong for Walter. Just a quick question around QuickBooks, are you guys hearing anything in terms of kind of how your QuickBooks ProAdvisor channel feels about the new online rollout? In the past we had heard it wasn't really something that they felt was a product good enough to recommend. I mean has that dynamic changed?
Brad Smith: Yes, Ken, it has. In addition to some studies that have been produced out there in your industry where some of your peers have been polling the ProAdvisors, we also have our own Net Promoter results, and our Net Promoter results with QuickBooks Online for Accountant is up significantly with the new version of QuickBooks Online. And so we are getting very good feedback and I personally have been out at some of the major conferences and have been interacting with the accountants and getting their feedback directly, and I have to say, for a group of people who quite frankly for years were not pleased with our version of QuickBooks Online, that sentiment has not only swung to the positive but it has swung much more positively, as I mentioned a few minutes ago, than we had expected. So we are getting good feedback from the ProAdvisors right now about the online version of QuickBooks, not only for their clients but also for them.
Ken Wong - Citigroup: Great. And then you guys mentioned the partnership with Square, just wondering when should we expect to see that go live, and then any concerns that this cannibalizes your existing payment offering?
Brad Smith: I'm sorry, can you repeat that last part again?
Ken Wong - Citigroup: Sure. I guess I'm just wondering on your partnership with Square, when should we expect that to go live and then any concerns that having that capability for your customers might cannibalize your own payment offerings?
Brad Smith: Got it. First of all, the rollout of square, we have it live right now going out with QuickBooks Online, the new version. It's in a beta format. We will continue to roll that out more extensively as we're rolling out the new QuickBooks Online. So the teams have been working side-by-side to make that very seamless. In terms of cannibalization, we actually think this is very complementary. So our GoPayment product in the market, we're trying to focus very squarely against service-based businesses. That's about two thirds of the businesses in the U.S. that operate on wheels, they paint houses, they mow lawns, they clean pools, and that business – by the way GoPayment paying customers was up 19% in this past quarter. So that continues to be a nice complementary service to our payments offering. Where square is really helping us focus is they're going to be focusing on restaurants and retailers. So it's a typical point of presence sort of businesses, and we think between that offering and our own GoPayment offering and the fact that they all work with QuickBooks as an operating system, that this is going to be a net add to the total payments opportunity that we can provide to small businesses and we think it will be incremental to our business as well.
Operator: Our next question comes from Wayne Johnson from Raymond James.
Wayne Johnson - Raymond James: I realize that we are in the beginning stages of the QuickBooks Online rollout, the updated version if you will, the latest updated version, and you made comments about the three-step three-minute opportunity to convert traditional desktop users to the online version. Is there any kind of efficacy here, numbers that you could share with us? What are your expectations, what do you think we are going to be talking about six months from now, nine months from now? Just trying to get a sense of how it's tracking and what you are looking for?
Brad Smith: Wayne, I can't tell you anything beyond what we have talked about at Investor Day, which is we have a multi-year forecast of what we think we can do in terms of doubling our small business base over the next five years, going from 5 million to 10 million, and we tried to break that down in sort of a waterfall to show how much of that come from the new QuickBooks Online which will be several million users over the next five years, taking that QuickBooks Online version globally which will also generate several million users, and then ultimately going after some pre-accounting customers which will round up the rest. And the early indicators I would tell you to keep an eye on will be to continue to look at the gross end subscribers quarter over quarter. We continue to see good early adoption and plus the attach rates to payroll and payments but we haven't laid out any sort of details that says, here's what you should expect in Q2, Q3, Q4 at the product level. We have built that into our guidance overall but we haven't broken it down over the next few quarters.
Operator: Our next question comes from Jim Macdonald from First Analysis.
Jim Macdonald - First Analysis: You mentioned on the call that you had a new unified health platform for TurboTax. Could you talk a little bit more about that and then also what does that mean for the live tax health this season?
Brad Smith: Sure, Jim, we can. If you look at TurboTax historically, there were multiple places on the home screen where you could get help. You could go into frequently asked questions, you could look up an answer through a community we called it Wise Community, you got equipped on a phone monitor and call a rep or chat with a rep, a live call center agent, or you could go out to an expert through Live Tax Advice and it was confusing. Now what we have is basically one search box that's very visible in the upper right-hand corner of every page. You type in your question and there is a little drop-down shelf that comes out and it gives you the choice. It will give you the answers of the frequently asked questions right there, it will give you the ability to post that out to the community from right there, or it will give you the ability to talk live to either one of our agents or an expert, and so it is all in one simple place and it gives you sort of a multiple choice, set of options that you can look for, whichever one answers your question the fastest and most efficient. Tax Experts are embedded into that offering for certain SKUs and in other SKUs it won't be, it will actually be a part of just having a live community of our own agents answer the question. But that's what the unified health is designed to do. Just think of it as a single search box on the upper right-hand corner of our products.
Jim Macdonald - First Analysis: And just as a follow-up, so what implications does that have on the size of your investment in the live tax help area?
R. Neil Williams: We haven't talked about the exact amount specifically, Jim, but you can take away from this is it is going to be less than what is spent the last few seasons and that we'll be shifting more of that resource to product improvement and the buildout of products.
Operator: Our next question comes from David Togut from Evercore Partners.
David Togut - Evercore Partners: Two questions. First, could you update us on your unit pricing strategy for FY 2014 both in the Small Business Group and the Consumer Group?
Brad Smith: Okay. So the unit pricing for us in the Consumer Group hasn't been published yet, so we will talk about that when we get the product into the marketplace. We just don't want to be out ahead of our headlights here in terms of the pricing itself. In the Small Business Group, the product pricing for QuickBooks year-over-year is fairly consistent. There has been a modest uptick in our QuickBooks Enterprise pricing and we have a one user, two user, three user, four user, five user sort of SKU lineup and then we go up to 10 and 30 users and it's a very modest amount and so it's probably in the neighborhood of 7% to 10% depending on which one of those SKUs you're looking at. Everything else is pretty much the same in terms of desktop and online pricing. In payroll and payments, there is a lot of moving parts. We have simplified the pricing in both of those businesses. We try to make it much more transparent. In payroll, we have gone in and we basically have simplified it so you know what your price is on a per employee basis, and in payments we are doing the same thing. And so, there is a lot more moving parts to those two pieces but I would tell you it is much more around simplification and less around any sort of major changes in the pricing itself.
David Togut - Evercore Partners: And as a quick follow-up question, when do you expect the new version of TurboTax to be released and what are the details of new features you expect to have in it?
R. Neil Williams: The desktop version will be out around Thanksgiving and we had talked about some of the features around [indiscernible] returning users to retrieve their data and to have a much simpler experience. TurboTax Online would be out around the end of the calendar year, first part of next year, and TurboTax Online of course, the product you see at the beginning of the season won't necessarily be the product you see at the end because we are continuing to make improvements and iterations throughout the season, but it will focus on first-time filers and having a simpler easier to get started experience and also the recent enhancements in TurboTax Online for returning users as well, again to take advantage of data that we know from other customers like you or we know from your prior year returns that you filed with us. So those are the basic things you can expect in terms of TurboTax.
Operator: Our next question comes from Yum Kim from Janney Capital.
Yum Kim - Janney Capital: Brad, there has been a lot of focus on new customer acquisitions and those metrics showed strong growth numbers again this quarter across all business segments, so congrats on that, but how effective was cross-selling in the quarter especially around Demandforce product?
Brad Smith: We actually are excited with the new customer acquisition. Demandforce this past quarter, subscribers were up 36%, the fastest growing vertical we have, and by vertical, they focus on dentist and then they focus on lifestyle and [indiscernible] and so on. We're calling the QuickBooks customer base a vertical because it is basically a pool of [indiscernible] that they can just sell again. They have continued refining through big data which of the customers in the small business base have the same characteristics as their existing customers in terms of size, business needs, and the revenue they generate and there's 650,000, they're going after about 225,000 now and that is the fastest-growing vertical they have in their portfolio. We haven't broken out the exact percentages of quarter over quarter but I can tell you in the grand context that the business is growing 36% and that being the fastest vertical, that it is growing at a very nice clip and we are very encouraged with the cross-sell opportunities of Demandforce into our base.
Yum Kim - Janney Capital: Okay, great. So if I can follow-up on the question, at the Investor Day, you talked about focusing more on the lower end of the small business market trying to accelerate the new customer acquisition. So on that, has that focus started already and does that new customer add that you expect in the Small Business Group today, will that be different from your existing installed base? The question is really, would that focus on the low end of the market and change the market-based opportunity around cross-selling and up selling which has been your hallmark or the business model?
Brad Smith: I am assuming this particular question is focused on the small business as large, not just on Demandforce.
Yum Kim - Janney Capital: Yes.
Brad Smith: Okay. Yes, our efforts have continued to accelerate in the lower end of the market. We have a small team of innovators that are working on a set of promising solutions that we think could be the first initial entrees into having a relationship with Intuit before you end up ultimately needing QuickBooks. I mentioned a few minutes ago, Mint MyBusiness which continues to accelerate through its beta phase and we will be looking to roll that out, and that's the ability to separate personal and business expenses, get tax times and ultimately file your taxes with TurboTax through a TPA. Our teams also have several other products like Weave which basically has to do with small businesses. That continues to pick up momentum. We have Snap Payroll, the ability to basically enter your hours and earnings from a phone and do your payroll for your small business while you're out on the road. And there is a whole host of other solutions the teams are testing. In terms of over the long-term, there will be different monetization models for these products. Each one of them will generate a different sort of revenue stream and then ultimately over time, our goal is to make the small business successful as they grow, and then when they do grow, they will move out into the ecosystem of other products where we can do things like payroll and maybe QuickBooks accounting for them. But for any individual products, each monetization model will be slightly different. If it's to do with, we may ultimately end up leading that into something like calendaring, we may end up leading that into something like payments. But we are making progress and I think over time we will have to see which one of these gets the best traction before we can answer the question specifically about what will be the best cross-sell opportunity for each product.
Operator: Our final question for today comes from Michael Millman from Millman Research.
Michael Millman - Millman Research: For this current year, fiscal 14, on taxes your models include ACA questions eHealth kind of questions or anything to raise the visibility of this coming event, and then I have another question?
Brad Smith: Yes, Michael, it guess. Today in fact if you get to our website, all of our programs that support the Affordable Care Act have been up and running since the official opening in October. So you can go there today and you can get answers to your questions through the AnswerXchange. You can also link to eHealth, our partner, and you can learn more about the offerings. And so that is out there today for customers and it will continue to be out there as we rollout the new versions of the product for fiscal year 2014.
Michael Millman - Millman Research: But will it be in the product if someone just goes to the product, will it be something in there that will say, heads up?
Brad Smith: Yes, throughout the product we will make sure – first of all TurboTax Online and the web side are synonymous because once you get into the product, there are some things that perpetually move with you through the product, and the AnswerXchange is a key piece of that. Also we will make sure that we are reminding you at certain points in the tax prep itself, implications as it results from the Affordable Care Act, and we've only closed out at the end, we will also be giving you tips around how to think about next year as well. So yes, it is embedded into the product experience.
Michael Millman - Millman Research: And for the coming year, do you expect any change in your RT share?
Brad Smith: We continue to see strong demand in RT. It is a product that the consumers really like, the ability for them to pay for their tax software out of the refund. That continues to grow and we have that sort of trajectory built into this year's forecast. So our goal is to continue to accelerate the growth of that.
Michael Millman - Millman Research: And is there any assumption to [indiscernible] over the next couple of years and any switches between do-it-yourself and assisted?
Brad Smith: Switchers in terms of the total category growth?
Michael Millman - Millman Research: Yes.
Brad Smith: Yes, and what we have seen including this year is that the software category grew at about 3%, the CPAs were roughly flat, tax sourcing to be down a little bit year-over-year and when you model that out over the next few years, that continues to show the software category picking up a little bit of share out of the total number of filers that are filing, and we think that trend continues.
Operator: Thank you. And that is all the time we have today for our Q&A session. I would like to turn the conference back over to management for any closing remarks.
Brad Smith: Okay, thanks Saeed. Clearly you can tell we are encouraged by the momentum that we have built coming out of this restructure that we went through back in August. I'll tell you our teams are hitting on all cylinders and we are looking forward to the peak season, which we know is quickly upon us here, but I do want to thank you for your time. I know there is a lot going on today in our space and so I just want to wish everyone a safe and happy holiday season and we'll speak with you soon.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program. You may all disconnect and have a wonderful day.